Operator: Good afternoon, ladies and gentlemen and welcome to the Turtle Beach Fourth Quarter and Full Year 2021 Conference Call. Delivering today’s prepared remarks are; Chairman and Chief Executive Officer, Juergen Stark; and Chief Financial Officer, John Hanson. Following their prepared remarks, the management team will open the call for questions. Before we go further, I would like to turn the call over to Alex Thompson of Gateway Investor Relations, Turtle Beach IR Advisor, as he reads the company’s Safe Harbor statement that provides important cautions regarding forward-looking statements. Alex, please go ahead.
Alex Thompson: Thank you. On today’s call, we’ll be referring to the press release filed this afternoon that details the company’s full year and fourth quarter 2021 results, which can be downloaded from the Investor Relations page at corp.turtlebeach.com, where you’ll also find the latest earnings presentation that supplements the information discussed on today’s call. Finally, a recording of the call will be available on the Investors section of the company’s website later today. Please be aware, that some of the comments made during this call may include forward-looking statements within the meaning of the federal securities laws. Statements about the company’s beliefs and expectations containing words such as may, will, could, believe, expect, anticipate and similar expressions constitute forward-looking statements. These statements involve risks and uncertainties regarding the company’s operations and future results that could cause Turtle Beach Corporation’s results to differ materially from management’s current expectations and any forward-looking statements made during this call. While the company believes that its expectations are based upon reasonable assumptions, there can be no assurances that its goals and strategy will be realized, and numerous factors may affect actual results and may cause results to differ materially. So the company encourages you to review the Safe Harbor statements and risk factors contained in today’s press release and in its filings with the Securities and Exchange Commission, including without limitation, its annual report on Form 10-K and other periodic reports, which identify specific risk factors that also may cause actual results or events to differ materially from those described in our forward-looking statements. The company is under no obligation to publicly update or revise any forward-looking statements after this conference call. The company also notes that on this call, we will be discussing non-GAAP financial information, the company is providing that information as a supplement to information prepared in accordance with the Accounting Principles Generally Accepted [sic - Generally Accepted Accounting Principles] in the United States or GAAP. You can find a reconciliation of these metrics to the company’s reported GAAP results and the reconciliation tables provided in today’s earnings release and the presentation. And now, I’ll turn the call over to Juergen Stark, the company’s Chairman And Chief Executive Officer.
Juergen Stark: Good afternoon, everyone and thank you for joining us. I’m pleased to discuss our strong full year and fourth quarter 2021 results. And I’m especially proud to announce that in 2021, we delivered the highest total revenues in the company’s history, following a record year in 2020. We also delivered $36.6 million in adjusted EBITDA in line with our previously provided guidance range. While we delivered another year of growth, 2021 certainly had industry-wide challenges. Semiconductor constraints limited our sales, shipping times were much longer and more unreliable than normal, and air freight costs hit over 4 times normal levels. The holiday period suffer from lower retail foot traffic, disappointing AAA game, video game releases and Xbox and PlayStation Console availability constraints that impacted the Console Accessory market. Our success, despite the challenging operating environment, is a testament to our team’s hard work, operational execution – excellence and commitment to our brands and customers. Our 2021 performance reinforces our belief that our diverse portfolio, expert operational management and strong consumer demand for our products have us well positioned for future success. We continue to believe that the gaming market remains the market to be in and we expect pent up consumer demand for the latest Xbox and PlayStation Consoles to result in strong hardware and peripheral sales over the next several years as supply constraints ease, new games emerge and gamers level up their Gaming Accessories. Last year, our Turtle Beach Console Headset brand maintained our 40 – our market share of 40% or more in the US for the 12th consecutive year, and from Newzoo’s US Consumer Insights report Turtle Beach has the highest brand loyalty among active console gamers. We’re dedicated to ensuring our fans are happy, not only with their products but with their entire experience with us. Per US NPD retail data, Turtle Beach continued with many market-leading headsets throughout 2021. In fact, Turtle Beach headsets represented five of the top 10 best sellers, and 11 of the top 20 best sellers in 2021 in terms of dollar sales. Our wireless Stealth 600 Gen 2 and Stealth 700 Gen 2 headsets were Xbox’s most popular headsets throughout the year, as the first and second bestselling Xbox headsets on the list. For PlayStation, our Stealth 600 Gen 2 and Stealth 700 Gen 2 products were the second and third bestselling headsets. It’s important to highlight that this was despite semiconductor constraints that limited our ability to sell these ultra-popular Xbox and PlayStation wireless headsets. I’ll cover more about our wireless Xbox and PlayStation headsets in a moment. In addition to bestselling Console Headsets, our first ever gaming controller, the Recon Controller for Xbox performed well and proved to be a strong entry into this new category for us. Since being revealed, the Recon Controller has gained multiple new placements at major retailers and has been met with great reviews. Of note, the Recon Controller for Xbox was recently named a Best Xbox Controller by IGN with a nine out of 10 review score in Editor’s Choice accolade. In our new Gaming Simulation Accessories category, we launched our VelocityOne Flight Simulation Control System in November. Since its debut, the VelocityOne Flight has generated significant consumer demand and critical acclaim. In fact, in November, our pre-orders sold out in less than an hour globally and in under 15 minutes in key markets, clearly indicating that we have delivered a great first product into the Flight Simulation category. Given the strong start and positive community chatter, we expect this product to continue to sell well in 2022 and onward. We also continued significant progress across our ROCCAT PC Gaming Accessories business. In the fourth quarter, we unveiled the Artic White version of ROCCAT’s fan favorite, Vulcan TKL Pro Keyboard, adding yet another option to our award-winning PC Gaming Keyboard series. We launched the new family of Sense mousepads with various sizes, shapes and textures. Additionally, we expanded our mobile gaming lineup by launching new wired gaming earbuds in Asia with plans to bring them into additional markets and add a wireless option in the future. We also announced a new partnership with the popular online personality, gamer, entrepreneur and businesswoman for the world renowned, Team Ninja brand, Jessica Blevins. In 2021, we launched 23 new ROCCAT PC Gaming accessories and announced 12 new partnerships, as we continue to broaden our PC portfolio and the ROCCAT brand. As a good metric of our progress, we gained share in all core PC markets – accessories markets, outperforming the competition, and again, growing our PC business at a rapid rate. The PC Gaming Accessories market for headsets, keyboards and mice has now grown to $3.8 billion, and we will continue our investments to capture an increasing share of that market. We acquired Neat microphones in January of 2021, which brought us a highly skilled team, the team that built Blue Microphones before creating Neat, and gave us a great advantage in creating cutting-edge microphones. In 2021, we launched four new products under the Neat brand. In the fourth quarter, we launched Neat’s sleek Skyline USB Conferencing Microphone, which is great for working from home or in the office. We also launched Neat’s flagship product, the eagerly anticipated King Bee II XLR Microphone. At the end of Q4, we added the Bumblebee II USB Microphone and Worker Bee II XLR Microphone to Neat’s 2021 lineup. These new products enable us to pursue the market for streamer and creator microphones that totals over $2 billion. As I look – noted last quarter across all our product categories, we’ve also made targeted investments in geographic expansion, particularly in Japan and Korea, where we have developed new distribution and retail relationships. The investments in sales and marketing paid early dividends with year-over-year revenue growth in Asia of well over 100%. Asia holds tremendous potential and I’m encouraged by the excellent progress we’ve made there in 2021. Next, I’ll turn it over to John to cover the financials in further detail, after which I’ll provide commentary on our outlook and the continued progress we’re making in the New Year. John?
John Hanson: Hey. Thanks, Juergen and good afternoon, everyone. As Juergen noted, we are pleased to report revenue of $366.4 million for 2021, the highest in the company’s history, compared to our previous record of $360.1 million in 2020. As we’ve discussed, our 2021 revenue was actually constrained by limited wireless semiconductor components. In 2021, gross margin was 35%, compared to 37.2% in 2020, which was due to the global increase in freight costs and more normalized holiday promotional activity, compared to 2020. Operating expenses in the full year 2021 were $108 million compared to $84.6 million in 2020. The increase was predominantly driven by the full year run rate of costs added during 2020 to support a more than 50% increase in revenues from the prior year. A record number of new product launches, geographic expansion and marketing investments to support those growth activities. Our full year adjusted EBITDA was $36.6 million, compared to $61.4 million in 2020, which reflects the items I just covered. Adjusted net income for the full year in 2021, was $20.2 million or $1.11 per diluted share, compared to $36.3 million or $2.22 per diluted share in 2020. Our effective tax rate for the full year was 12.1%. Full year 2021 cash used for operating activities was $0.3 million, compared to cash generated totaling $51 million a year ago, due to lower operating income and increased inventories driven by longer transit times and supply chain risk mitigation actions. Turning to the balance sheet. At December 31, 2021, we had $37.7 million of cash and cash equivalents with zero debt, including no borrowings on our revolving credit line. Inventories at December 31, 2021 were $101.9 million, compared to $71.3 million a year ago for the reasons I just noted. As supply chain risk subside over time, we plan to reduce inventory levels. The company also repurchased nearly $5 million in stock during 2021. Looking at the fourth quarter of 2021, net revenue was $109.4 million compared to $132.9 million in the same period a year ago. Like others in the gaming market, we were impacted by a slower holiday season, mostly due to disappointing AAA video game releases, constraints on new Xbox and PlayStation availability and weak retail traffic as we noted in our preannouncement back in January. Revenue phasing was unusual in 2021, as the first half of the year benefited from the exceptionally strong sell through driven by stimulus checks and some continued lockdowns as well as significant channel replenishment in the first quarter. Gross margin in the fourth quarter of 2021 was 32.5%, compared to 35.8% in the year ago quarter. This decrease was mostly due to increased freight costs and more normalized level of promotional activity during holiday and reduced operating leverage. Operating expenses in the fourth quarter of 2021 were $29.3 million, compared to $27.6 million in the 2020 period. The small year-over-year increase was due to the incremental product development investments, and the new categories we entered in 2021 and continued expansion of our PC Accessories’ portfolio. In the fourth quarter of 2021 we reported adjusted EBITDA of $9.6 million versus $23.6 million in the year ago quarter. The year-over-year change was mainly driven by the reasons cited above. Addition – adjusted net income for the fourth quarter of 2021 was $2.8 million or $0.16 per diluted share, compared to $14.8 million or $0.84 per diluted share in the corresponding period in 2020. Now, I’ll turn the call back over to Juergen for additional comments. Juergen?
Juergen Stark: Thanks, John. As we said we’re pleased with our 2021 results, which again demonstrated our ability to achieve strong operational execution in spite of challenging external circumstances like semiconductor shortages, increased freight cost and shipping bottlenecks. Our execution across our respective business categories allowed us to launch a record number of new products and deliver a 10% EBITDA margin despite this backdrop. Had we been solely dependent on the performance of our leading Console Gaming Headset business, we would not have achieved growth given that the Console Gaming Headset market declined mid-single digits year-over-year. Instead, revenue growth in PC Accessories and successful entry into Controllers, Flight Simulation and Microphones provided a top line benefit and enabled growth following a record 2020. Let’s move now to our outlook for 2022. For the full year 2022, we expect revenues to be approximately flat, plus or minus 5% from our record 2021 revenues. The midpoint of this range reflects anticipated growth in sell-through and share gains in all categories, offset by reduction in channel inventory, and the expectation that Console and PC markets may decline somewhat from 2021, given the absence of stimulus checks and stay at home orders that drove an exceptionally strong first half in 2021. The first quarter of 2022 is also impacted by slower channel replenishment as retailers bring post-holiday inventories back to normal levels. We expect quarterly revenue phasing to be more normal in 2022, following several years of abnormal quarterly revenues driven by lockdowns and other COVID related impacts. So as we previously communicated, shareholders and analysts should track our progress on an annualized basis versus individual quarters. That said, we anticipate our quarterly revenue phasing in 2022 to be roughly 11% to 13% in Q1, 17% to 19% in Q2 and around [70%] [ph] in the second half. Next. This year, we expect gross margins to be roughly 2% to 3% below our mid-30s target range, which reflects a roughly 3% to 4% impact from higher freight and component costs, as well as expected return to normal promotional levels for the full year, partially offset by factoring higher costs into new product pricing. While freight costs may come down somewhat, we are assuming that they will remain well above normal pre-pandemic levels. We expect the timing of these items to focus margin pressure on the first half, particularly on the first quarter, given high freight costs from late 2021, which flow to the P&L early in the year as products move out of inventory and margins to normalize somewhat later in the year. We expect our adjusted EBITDA margin to be within the range of 9% to 11% for the year, inside or slightly below our target of 10% plus due to the factors I just discussed. And we continue to maintain our long-term target of mid-30s gross margins, and an EBITDA margin that grows from 10%. Net income per diluted share is expected to be within the range of $0.70 to $1.20, based on $17.5 million diluted shares for 2022. We expect the Gaming Accessories markets to produce good growth in the second half of the year as we anticipate a significantly stronger holiday season, a new lineup of AAA games and easing Xbox and PlayStation supply constraints complemented by the gaming industry’s continued underlying growth. The gaming market is by far the largest and most expansive entertainment industry in the world and per Newzoo’s January Global Games Market Report, the number of global gamers continues to grow and is expected to reach more than 3 billion by the end of 2022. By extension, this drives higher demand for quality gaming products on all platforms and across the seven product categories we now compete in. So with all signs indicating, that the gaming universe will continue to boom, we believe we’re well positioned to capitalize on the opportunities ahead. Since 2019, we have transformed from a market-leading Console Gaming Headset business into a diversified Gaming and Creator Accessories business with ample room for growth in a massive total addressable market of now $8.8 billion. Here are our priorities for 2022 in that context. First, continue to lead in Console Headsets. We continue to lead this category with more share than the next three competitors combined per US NPD data, and we just announced the first set of a new wireless products, our Stealth 600 Gen 2 Max with new multiplatform capabilities and best-in-class 48 plus hour battery life, that’s two full days you can game on the Max and the Stealth 600 Gen 2 USB, which keeps the 600s – attractive $100 MSRP and adds approximately 10 hours of battery over the earlier version. We have more exciting products coming in our Console category – Headset category this year. Second, continue to expand our PC Gaming portfolio of headsets, keyboards and mice and grow our share in that 8 – $3.8 billion category. We just launched the Kone XP mouse which redefines ROCCAT’s fan favorite, ergonomic design and best-in-class versatility, 15 buttons assignable to 29 functions, as well as groundbreaking 3d RGB lighting. I use this mouse myself, and it not only feels and works great, it looks stunningly cool. We will continue expanding our ROCCAT product portfolio with some more exciting products coming this year. And you’ll also see further expansion of our Mobile Gaming Products’ portfolio. Third on the list of our priorities is to drive growth in the Gamepad Controller, Gaming Simulation Accessories and Microphone categories we entered last year. We will continue to expand the portfolio of products in these new categories. And together with the above PC portfolio, we expect to deliver roughly $100 million of revenue from these combined categories this year. And fourth, we will continue to identify and selectively pursue other growth opportunities. Our investments in expanding our business in Asia have gone very well and will continue. And we – continue to look for organic growth and acquisition opportunities to expand our addressable markets and drive growth in line with our 10% to 20% annual growth target. Of course, delivering on these priorities requires diligent, operational and financial execution. With a lean high talent team and tight collaboration with our external partners, which are always part of our day-to-day focus. It’s an exciting time to be a leader in providing high quality accessories for gamers, across now seven product categories. We’re coming off a record year with great momentum, while remaining disciplined and focused on delivering on our priorities for the continued benefit of all of our stakeholders. Finally, as always, and especially given our accomplishments throughout 2021, I want to extend my thanks to the entire Turtle Beach team. Their continued focus, execution and diligence has allowed us to achieve record revenues, while innovating and delivering a record number of new products in challenging circumstances. We have much more in store for 2022 and beyond and I’m excited to update you all again following Q1. Thank you. Operator, we’re now ready to take questions.
Operator: Thank you, sir. [Operator Instructions] Now our first question coming from the line of Drew Crum with Stifel. Your line is open.
Drew Crum: Okay, thanks. Hey guys, good afternoon. Juergen, I wonder if you could provide more detail on how you see the Console Headset category performing in 2022. Your commentary suggests you’re a share gainer with your business down mid-single digits if my math’s right? And then I have a follow-up.
Juergen Stark: Sure. So we see the Console Headset market declining a bit this year. So and that’s driven by the very high first half of 2021 and, in particular, Q1 of last year. I think Console Gaming Headsets were up about 60% in Q1 2021 over 2020. And our Q1 was up 93%. So we performed really well in Q1 last year, including channel refill and all that, but so did the whole market. And that really went through about half of Q2 of last year, lockdowns, stimulus checks all of that really drove an outsize first half. By the way, if we normalize for that kind of extraordinary impact last year, our forecast for the Console Gaming Headset market sell-through would actually be up lower-mid single digits, right. But because of the outside first part of last year, our forecast is actually a modest market decline for the year. Our business will, in terms of sell-through, our guidance anticipates an increase in sell-through year-over-year. So growth for us in sell-through and share gain, given the new products we have announced and new products we have coming, and the fact, that we won’t have – don’t expect to have at least the semiconductor constraints that we had last year as we redesigned a number of products. That’s different than sales obviously. Sales are – our revenues in that category are also just affected by channel inventory dynamics, including the fact that whenever Q4 is weaker than retailers expect, there’s less channel replenishment in Q1, in particular, as the retailers align their kind of post-holiday inventory levels.
Drew Crum: Okay, got it. Thanks. And then just on gross margin. You mentioned a 3 percentage point to 4 percentage point hit from higher freight and component costs. But that would abate I think the language use was over time. Can you clarify that? And also what is the headwind this year for more normalized promotional spending? Thanks.
Juergen Stark: Sure. Yeah, our estimate is, there’s about a 3% to 4% impact from higher freight and some component cost increases, semiconductors, in particular, are more expensive. But there are inflationary pressures across many parts of the business like there are for everybody else. We, you know unlike others, we expect, while freight costs may come down over time, and we expect them to come down somewhat this year. We don’t expect them to go back to pre-pandemic levels for quite some time. So we are continuing you know a very aggressive focus on returning to a mid-30s gross margin, which we expect to – you know, be more in line with as we approach the back half of the year, and certainly would target again, for 2023 and beyond by finding other cost opportunities – cost reduction opportunities. And we’re also factoring higher costs across the Board into our new product pricing. So as those products launch and become part of that financials, we do expect to return to back on track to our mid-30s target over time.
Drew Crum: Got it, okay. Thanks, guys.
Juergen Stark: Thanks, Drew.
Operator: And our next question coming from the line of Mark Argento with Lake Street Capital Markets. Your line is open.
Mark Argento: Hey, Juergen. Hey, John. Just wanted to dig in a little bit on operating expenses. I know you guys kind of cranked up OpEx in 2021 to kind of you know position yourself for continued growth. Obviously, the market hasn’t really given you guys the opportunity to you know at least on a Console side and grow maybe as quickly as you anticipated. And any thoughts on kind of normalized OpEx kind of going forward? And you know how much of that OpEx you guys have slated for you know kind of marketing, promotional activities? And does that maybe change a little bit given the environment?
Juergen Stark: Sure. So we did, given the record number of product launches last year, our product marketing spend was you know several million dollars higher than normal. Every product you launch, no matter what category it’s in, has a required amount or you know a prudent amount of product marketing that happens alongside of it. We expect to continue to launch an expansion in the portfolio in multiple categories, but not at the same rate of 2022. So – 2021, sorry. So that will take the product marketing spend down you know some single-digit millions of dollars just as we look at the product launches. And, of course, brand marketing will continue across all of the brands, but in a measured way as we were in 2021. So it’s really the product-specific marketing, that will come down somewhat. So in an OpEx overall, there are you know inflationary pressures on all parts of the business, including OpEx, labor markets are tight. And but despite that, we expect the overall OpEx of the business to come down you know roughly $5 million plus for the year.
Mark Argento: That’s helpful. And you know that kind of a guided historical kind of targeted EBITDA margin range, I think you guys talked to 9% to 11% or 10%. You guys are good 9% or 11%. Does that 10% you know – does that give you some decent cushion in terms of being able to reinvest into the business you know what’s kind of a good reinvestment EBITDA margin versus if you wanted to lean things out a little bit and try to – try and generate some more cash?
Juergen Stark: I think it is a good balance with the 10%. It’s a couple percent below where we’d like to be. And that’s all driven by the gross margin line. OpEx, as I mentioned, we’re going to make some reductions this year to stay kind of on track with a roughly 10% EBITDA margin. But like any other business, Mark that you know we – that our operation expenses include running all parts of our business, including the parts of our business that are growing and expanding. And you know we do very carefully try to balance, to produce a good level of profitability, 10% by the way happens to be roughly aligned with Corsair, who’s 5 times our size and should actually have a lot more operating leverage than we do. But you know we run lean, there’s not a lot of companies in our type of category that do more than a million dollars revenue per head. And we’re going to keep that level of financial discipline in our – you know, as we go through the year and in our future plans.
Mark Argento: And then just a last question, in regards to you know semiconductor shortages, in particular, more on the Console side and the availability of Console hardware you know where do you think the market is you know where do you think you know Sony and Microsoft are in terms of their ability to supply enough boxes in the market this year and maybe just kind of juxtapose that relative to your guidance?
Juergen Stark: Sure. So we don’t have good visibility into that to be clear, they – they’re running their supply chains, they were highly constrained last year, disappointingly so is particularly doing – during holiday. But you know we are assuming they’re going to continue to make good progress. We obviously have to use some estimates when we do our financial forecasts and we’re assuming that the supply constraints abate as we go through the year. And we’re hopeful that by the time Q4 rolls around, we expect a better AAA game launches, and hopefully much less constraint or no constraint on Console supplies by that time, and expect that to produce you know a significant amount of growth in Q4.
Mark Argento: Good. That’s helpful. Good luck for the rest of the way, guys.
Juergen Stark: Thanks, Mark.
John Hanson: Yep. Thank you, Mark.
Operator: [Operator Instructions] Our next question coming from the line of Jack Vander Aarde with Maxim Group. Your line is open.
Jack Vander Aarde: Great. Thanks, guys for taking my questions. Juergen, you mentioned geographical expansion, and particularly Japan and Korea, I believe revenues growing well over 100% there. Just in terms of you know your revenue mix and look forward any rough targets can you provide what you expect Asia sales mix to represent you know in the next year or you know over time just to put something you know more quantified material numbers signed it?
Juergen Stark: I probably won’t set specific targets around that. But I will reinforce the fact that, that we have grown our international business quite a bit. Our percent of revenues outside of North America have gone from 73% of our business to 66%. And that’s really progress, not just in Asia and Asia still somewhat small, but it’s actually you know approaching double-digits now, and becoming more meaningful in the overall business. It’s also just good progress in other European markets. And you know we expect that to continue.
Jack Vander Aarde: Okay, great, that’s helpful. And then I believe you estimated supply chain related constraints dragged on you know your 2021 revenue, approximately $25 million to $30 million or so. And I think this is due to a certain wireless chipset module in particular. Do you have an embedded estimate for what you expect you know this certain supply chain issue to have on 2022 revenues or any implied or embedded kind of impact there?
Juergen Stark: That’s a great question, and I’m glad you asked. We don’t expect to have semi – any meaningful semiconductor supply constraints related to that issue for 2022, because we expend an enormous amount of effort in resource in – at record speed last year to actually fully redesign out of and around that most constrained-specific semiconductor. And you’re seeing the first of a set of new wireless products with the announcement we just put out in the last couple of days, the new Stealth 600 Gen 2 Max and USB. Those products not only you know work around that semiconductor constraint, but also deliver an improved value proposition even with 48 hours of battery life on the Max, an additional 10 hours, which is a significant increase by the way on the 600. USB. And again, there are more wireless products coming now. And so we think barring a surprise on the new semiconductors, the new platforms, we expect to have successfully executed around that constraint now for 2022.
Jack Vander Aarde: Okay. So that is a obstacle or a challenge that is kind of completely structurally removed from the equation now across all your product categories? Is that fair to say?
Juergen Stark: Well. So we can’t forecast semicon – what happens in the semiconductor industry overall. So I wouldn’t make quite that blanket statement. But there was a very specific semiconductor that was the lion’s share of the constraint last year, that we have now worked around and we have orders in for the semiconductors, we think we’re going to need for the year, barring surprises on availability for those semiconductors which could hit us or anybody at any time, we have you know factored our supply in semiconductor situation fully into our guidance for the year.
Jack Vander Aarde: Okay. And then just one more of the $100 million target revenue from non-Console Headsets. Is it fair to assume that I imagine the bulk of this is you know is ROCCAT-related. But is there a number there? I mean, is it like 80% plus is kind of what I was thinking? Is there a fair number you’re willing to talk about just between your Flight Simulator and your you know the Custom Controllers and USB Microphones and all the other stuff. Is the bulk of it ROCCAT? Is that fair?
Juergen Stark: The majority of it is ROCCAT. I wouldn’t say bulk of it is ROCCAT, we’re not going to provide the specific breakdowns. But suffice – you know, ROCCAT has got a two-year head start over the other categories, right. And so that’s reflected in the number. I will tell you that the other categories, particularly, Controllers and the Flight Sim products which launched during the year versus the Microphones which launched very late in the year, are off to a terrific start and contributed – contributing materially to our 2022 guidance and to that $100 million.
Jack Vander Aarde: That’s helpful. I appreciate the time. I’ll hop back in the queue.
Juergen Stark: Thanks, Jack.
Operator: Our next question coming from the line of Martin Yang from Oppenheimer. Your line is now open.
Martin Yang: Hi, good afternoon. Thank you for taking my question. My first question is on your OpEx. Juergen you know where do you see – reflecting on 2021, where do you see higher returns on investments on the new spending on OpEx looking across new product development, geographic expansion and some of the marketing influencers?
Juergen Stark: Sure. If I understand your question correctly, let me first kind of re-outline what John covered in his prepared remarks. The business grew from $234 million in 2019, $235 million roughly to $360 million in 2020. When that happens, you have to invest in people, infrastructure, resources, everything that’s related to the size and scale of the business. But you can’t do that you know instantly in one fell swoop. So we added staff, resources, facilities all of that throughout the company during the course of 2020. Those full year that once you hit 2021, those costs then have a full year impact, right, many that were added late in the year for example, impact the full year in 2021. That’s why like the OpEx goes up about 28% for the year, but only about 6% or 7% Q4-over-Q4, because by the time you’re in Q4, you’ve got kind of the full year, you’ve got the run rate and those resource adds already in. So that – that’s the biggest driver by far of the OpEx increase, just the scale of the business. And then, as we did in 2020 by the way, we continued making investments in multiple parts of the business, we don’t break those out, the business is run fully integrated, other than some very specific categories like product marketing and engineering staff for the new products. The rest of the business is run fully integrated and is scaled to accommodate the larger business, including the growth opportunities in new geographies, in new product categories.
Martin Yang: Got it, thanks. My next question is on your thoughts on your – it seems like the second half of the guide – based on guidance, you’re more comfortable with the growth on the second half this year. Is there any gains from broader [earning] [ph] trends you see that makes you more comfortable on the holiday performance this year?
Juergen Stark: Well there are two really important items in the quarterly phasing for the year. One is the exceptionally strong first half of 2021. Stimulus checks, remaining lockdowns, things like that you know drove again – it drove Console Gaming Headsets, if I remember, right, the market in general, US retail sales are up 60% year-over-year in Q1, right. So and that a lot of that effect continued into Q2. So Q1 and Q2 for everybody is not going to be a good comp year-over-year, because there’s no stimulus checks or lockdowns expected in the first half of this year. So that’s a big driver of returning quarterly phasing more to a normal level, which we really haven’t had for many years now, because every years for the past few has had unusual dynamics. The second thing is Q1, in particular, also has a not a sell-through impact, but a revenue impact. Just as channel replenishment is lower as retailers get their post-holiday inventory levels back to normal. So all of that kind of affects the first half. The other important item is Q4 2021 was just not strong. You know the PC, the Console market, the PC Accessories market both declined double-digits in Q4. Game releases, AAA game releases were weak, lowest review scores, I think in multiple of those games franchise histories, Console supplies for Xbox and PlayStation were constrained, that has more of an impact on Console obviously. And then there were somewhat weaker foot traffic, particularly on Black Friday, which is a big driver of Gaming Accessories sales that day in particular. So because of that we expect by the time we hit Q4 this year, the game – AAA titles will hopefully do a much better job with a set of new launches. Hopefully Xbox and PlayStation will work out of their supply chain constraints. And those two items alone we think give us confidence in a much stronger Q4 for the year.
Martin Yang: Got it, thank you.
Operator: [Operator Instructions] And we have a follow-up question coming from the line of Martin Yang from Oppenheimer. Your line is open.
Martin Yang: Hi, Juergen. Just a quick question on your comments you know defining your company as part of the Creator Accessories business. Does that indicate anything on your non-Console business? Do you think that you will explore more new products outside of the conventional Keyboard and Mouse Accessories?
Juergen Stark: Yeah, great, great question. So obviously, the primary product portfolio that’s now new for us are the Neat microphones. Those are you know major tools for creators and streamers. That’s why we’ve added that terminology, because that – that’s not just a gaming market, that’s its own kind of adjacent market. the – Mic market overall is actually about $2.3 billion. Obviously Gaming Accessories, PC Gaming Accessories have lots of uses. That people want highly functional mice with you know lots of buttons and things like that, but the primary driver for my use of that language is the new Neat mic portfolio that just launched.
Martin Yang: Got it, thanks for the –
Juergen Stark: And I didn’t answer one part, which is, yes, given that we now have the startup portfolio in this Creator segment. That’s certainly on the radar. The streamer, creators and gamers, there are lots of overlaps and synergies between those markets. So that definitely is on our radar to look at for expanding portfolio and growth opportunities.
Martin Yang: Yeah, that makes sense. Thanks.
Operator: Currently, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Stark for closing remarks.
Juergen Stark: Hi, thank you very much, everybody. We’re excited to be operating in 2022 with great momentum and look forward to speaking again on our Q1 call this spring. Thanks very much a have a great day.
Operator: Ladies and gentlemen, this concludes today’s teleconference. You may now disconnect your lines at this time. Thank you for your participation.